Operator: Greetings and welcome to the First American Corporation First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. A copy of today's press release is available on First American's website at www.firstam.com/Investor. Please note that the call is being recorded and will be available for replay from the company's investor website and for a short time by dialing 877-660-6853 or 201-612-7415 and enter the conference ID number 136-89517. I will now turn the call over to Mr. Craig Barberio, Vice President, Investor Relations to make an introductory statement. Please go ahead.
Craig Barberio: Good morning, everyone, and welcome to First American's earnings conference call for the first quarter of 2018. Joining us today will be our Chief Executive Officer, Dennis Gilmore and Mark Seaton, Executive Vice President and Chief Financial Officer. Some of the statements made today may contain forward-looking statements that do not relate strictly to historical or current fact. These forward-looking statements speak only as of the date they are made, and the company does not undertake to update these forward-looking statements to reflect circumstances or events that occur after the date these forward-looking statements are made. Risks and uncertainties exist that may cause results to differ materially from those set forth in these forward-looking statements. For more information on these risks and uncertainties, please refer to this morning's earnings release, and the risk factors discussed in our Form 10-K and subsequent SEC filings. Our presentation today contains certain non-GAAP financial measures that we believe provide additional insight into the operational efficiency and performance of the Company relative to earlier periods and relative to the Company's competitors. For more details on these non-GAAP financial measures, including presentation with and reconciliation to the most directly comparable GAAP financial measures, please refer to this morning's earnings release, which is available on our website, www.firstam.com. I will now turn the call over to Dennis Gilmore.
Dennis Gilmore: Thanks Craig. Good morning and thank you for joining our call. I will begin with a review of our first quarter results and then discuss our outlook for the remainder of 2019. First quarter earnings per share were $0.97 or $0.74 excluding net realized investment gains due to an increase in the fair value of equity securities. The company performed well in the first quarter despite the ongoing challenges in the housing market that began in the second half of last year. While our title segment revenues declined effective expense management and growth in our investment income drove continued strong earnings and margins. In our title segment purchase revenues declined 7%, refinance revenues fell 16% and our commercial revenues declined 3% compared to last year. However we still delivered a pre-tax margin of 12.1% excluding the impact of net realized investment gains and losses. Our pre-tax margin was 10% this quarter compared with 8.9% last year. In our Specialty Insurance segment, our home warranty business performed strong and our property and casualty business continue to experience high claim losses. However we're encouraged that our efforts to improve our P&C business are beginning to gain traction. This segment's overall loss ratio declined modestly to 55% with a pre-tax margin of 14.6% over 11% excluding net realized investment gains. Entering the spring selling season we've become more optimistic about the housing market given the pause of the economic backdrop and the recent decline in mortgage rates. We're encouraged by April's open order trend with purchase orders only down 2% and refinance orders up 29% which is an improvement in the order trend we've experienced over the past three quarters. We now anticipated the purchase market will be a more modest headwind in 2019. In addition, we expect our commercial business will deliver another strong year and we expect to see year-over-year growth in our investment income for the next two quarters. As 2019 progresses, we will maintain our focus on margin improvement while also investing for the long-term through the development innovative solutions for our customers. I will now turn the call over to Mark for a more detailed review of our financial results.
Mark Seaton: Thank you Dennis. In the title insurance and services segment direct premium and escrow fees were down 7% compared with last year. This decrease reflects 13% decline in the number of direct title orders closed partially offset by a 7% increase in the average revenue per order. The average revenue per order increased to $2,475 primarily due to an increase in the average fee profile from commercial transactions in a higher residential real estate values. The average revenue per order for commercial transactions increased 11% while the average revenue per order for purchase transactions increased 3%. Agent premiums which are recorded on approximately one quarter lag relative to direct premiums were down 5%. The agent spilt was 79.1% of agent premiums. Information and other revenues totaled $170 million down 9% compared with last year. The decline was primarily due to lower revenues from the company's centralized lender of businesses as well as the contractual change for certain customers that resulted in the netting of growth revenues and cost of sales. Investment income within the title insurance and services segment was $70 million, up 69%. The increase resulted from higher average balances and rising short-term interest rate that drove higher interest income in the company's investment portfolio and cash balances. Higher short-term rates benefit our escrow deposits, operating cash, 1031 exchange business in our bank where we held $4.3 billion in cash and debt securities as of March 31. Personnel cost were $381 million down 3% from the prior year. The decrease was driven by lower salary and incentive compensation expense. Other operating expenses were $169 million down 12% from last year. The decline was due to lower production related costs and the netting of gross revenue and cost of sales as previously mentioned. The provision for title policy losses and other claims was $36 million or 4.0% of title premiums and escrow fees unchanged relative to prior year. The current quarter rate reflects an ultimate loss rate of 4.0% for the current policy year with no change in the loss reserve estimates for prior policy years. Pre-tax income for the title insurance and services segment was $142 million in the first quarter compared with $102 million in the prior year. Pre-tax margin was 12.1% compared with 8.6% last year. Excluding the impact of net realized investment gains and losses pre-tax margin was 10.0% this quarter compared with 8.9% last year. Net expenses in the corporate segment were $18 million down 6% compared with last year due to higher investment income related to our cash balances and deferred compensation plan. The effective tax rate for the quarter was 22.5% lower than our normalized tax rate of 24% due primarily to excess tax benefit associated with the vesting of restricted stock units. Cash provided by operations was $34 million down from $43 million in the first quarter of 2018 due to changes in working capital accounts. Notes and contracts payable on our balance sheet totaled $731 million as of March 31st, which consists of $547 million of senior notes, $160 million on our credit facility, $18 million of trustee notes and $6 million of other notes and obligations. Our debt to capital ratio as of March 31 was 18.1%. I would now like to turn the call back over to the operator to take your questions.
Operator: [Operator Instructions] our first question comes from the line of Mark DeVries with Barclays. Please proceed with your question.
Mark DeVries: Was hoping to get an update on what you're seeing through April on your open order trends in the commercial business? And also what you're seeing on mix, it does look like well commercial closed orders have been kind of down year-over-year, there's been an offset there on the average fee profile, so are you also seeing a mi shift towards larger transactions in the business you're getting?
Mark Seaton: Mark, good morning. This is Mark. I'll start with that, so in terms of the commercial open order accounts in April so far for the first 17 business days were down 11% on order count basis and that's relative to the first 17 days in April of 2018. So we're seeing a decline, but as we've talked about in the past, a big driver is the fee profile and we're seeing a higher mix of larger deals. So even though commercial was down 3% on terms of revenue in the first quarter. We did see a higher mix, higher quality deals that's really driving a fee profile.
Mark DeVries: Okay, so you're [indiscernible] revenues for the sharing commercial. Would you expect it to be flattish given kind of the what you're seeing both on orders and the average fee profile, that really to think about it or down marginally or kind of like what we saw, this quarter?
Dennis Gilmore: Yes, this is Dennis. I think we're going to see it down slightly so kind of like we guided last quarter. We think court martial [ph] is going to be very strong year for us. Probably [indiscernible] top two or three years as an overall year. But we think the revenue will have a little pressure probably down single digits.
Mark DeVries: Okay, great and then expenses were much better than we were modelling for the quarters. Anything worse calling out there that you did to kind of manage expenses lower?
Mark Seaton: Well there's two things, I'd say. One is, there was nothing really unusual that happened in the quarter. So we didn't get any unusual benefits on the expense line item and as we talked about on the last call. I mean we were pretty aggressive in management cost structure at the end of 2018 and so we actually realized those benefits so far here in the first quarter.
Dennis Gilmore: Yes and I'd only add, really what Mark just said, we were going in the beginning of 2019 a little more pessimistic than we were now, so we were aggressive on our expense ratios in the fourth quarter of 2018, now I'm sure I'll get the question. We're little more optimistic on the purchase market than we were a few months ago.
Mark DeVries: Okay, got it. Thank you.
Operator: Thank you. Our next question comes from the line of Mackenzie Aron with Zelman & Associates. Please proceed with your question.
Mackenzie Aron: First question just on the corporate segment, can you just kind of maybe give us an update a way to think about the net drag, there given the accounting changes in the personnel cost?
Mark Seaton: Well, the corporate segment the way that we think about it, is we just look at the pre-tax loss there at the corporate segment which [technical difficulty] has been very consistent and about $18 million a quarter or quite some time now. There is going to be volatility in investment income because of our deferred compensation plans to lever [ph] the equity markets rise because of our deferred comp plan we're going to have rising investment income, but that's going to be offset by rising personnel cost too. So there's going to be volatility in those two lines items, but they're going to net close to zero and we don't expect much change in terms of our $18 million pre-tax loss going forward in the corporate segment.
Mackenzie Aron: Okay, that's helpful and then on the investment income. I think there was a comment made that you expect the year-over-year growth to continue for the next two years. Is there anything notable on 4th June, 2019 that would make that comp more challenging?
Mark Seaton: The thing that would make it more challenging is that, that assumes that there is not going to be any more fed increases, every time the fed raise which was four times last year. we went and got benefits from our 1031 exchange business from our bank, from our escrow deposits and so assuming the fed is on a hold, we feel like the $70 million investment income run rate in the title segment is a good one and so, when you look at sequentially our investment income didn't rise very much, it rised [ph] about $1 million or so. So we feel like we're going to have year-over-year improvement in Q2 and Q3 just because the fed rates are higher, but once we get to Q4 we'll sort of lap those and we think our investment income will kind of [indiscernible] out in terms of year-over-year growth. Again that assumes that, the fed doesn't change and it also assumes that there is no real change in our balances from where it is today.
Mackenzie Aron: Okay, great. Thanks.
Operator: Thank you. Our next question comes from the line of Jason Deleeuw with Piper Jaffray. Please proceed with your question.
Jason Deleeuw: Congrats on the solid results during the tough volume environment.
Dennis Gilmore: Thank you.
Jason Deleeuw: And now that we're seeing the volume improve a little bit or at least I guess be down last. What are you thinking on being able to hold your expense structure here? Are you going to have to hire up for the volume improvement? Are you kind of staffed where you need to be?
Dennis Gilmore: We're staffed appropriate for the order volume now, so we're definitely more optimistic going into the spring volume season than we were just a few months ago and like you mentioned our order counts in April so far down 2% approach, so that's a good sign from what we've seen over the last few quarters. Specifically regarding headcount we'll add a limited amount as we go into the spring summer months and we'll also back it up temps and seasonal and overtime. So we're going to watch our expenses real closely going over the next few months.
Jason Deleeuw: Got it. And I think the key focus here is, is the margins and the expansion you got in the first quarter it was 100 bps in the title segment pre-tax margin improvement year-over-year. and so I'm just trying to get a sense, can we expect margin expansion than for the rest of the year, just it's being [indiscernible] with the volumes improving a bit and the cost where they add in. and then also the other OpEx that declined $22 million year-over-year, is that sustainable? Is that kind of the new run rate just how should we think of that?
Dennis Gilmore: Let's separate the questions. I'll start with the margin expansion and then Mark can take the OpEx. Regarding margin expansion I think you know over the last few years we've grown our margin every year. Obviously we're going to continue to try to do that. We started off the year a little stronger than we anticipated because of just strong [indiscernible] great expense controls. So sitting here now, we've got a more optimistic view on the purchase market or said differently. We think the purchase market will be less of a headwind than we originally thought. We think that we'll have a strong commercial performance again, good investment income. So all positive. Our long-term target of 11% to 13% obviously still good and where we are right now we think will be at the upper range of that target.
Mark Seaton: Yes, Jason in terms of the OpEx. I think the short answer there is. The OpEx is down significantly just because our order counts has been down and about 50% of our operating expenses in the title segment are variable. So that's going to be the big driver. We see orders continue to fall either on the refi or the purchase side. We'll continue to see savings and OpEx and conversely they rise, we'll see that rise. So [indiscernible] trend with order temps.
Jason Deleeuw: Got it and one last quick one. The refinance revenue per order that was up a lot year-over-year. What are the factors driving that?
Mark Seaton: There's a couple factors driving it. The first one, so our refi ARPU was up 20% year-over-year and typically it hasn't changed in last over the years. We've seen a big increase in commercial ARPU and in purchase ARPU, but not really on the refi side and we saw that this quarter. So one thing is that we did an acquisition called TCM last year. And with that acquisition we get escrow related revenue with no associated orders. So it distorts the refi up a little bit, so that off the 20% increase in ARPU about 5% of that was related to this acquisition. So our core refi ARPU was up about 15% year-over-year which is still higher than what we're seeing. Most of that is because we have raised rates in our centralized lender business and so that's all economically driven. There is a little bit of it because of just higher liability transactions but most of that 15% because we raised rates in our centralized refi business.
Jason Deleeuw: Great, thank you.
Operator: Thank you. Our next question comes from the line of John Campbell with Stephens Inc. Please proceed with your question.
Carter Trent: This is Carter taking place for John. The information and other segment within the title business, what was the reason for the unusual year-over-year decline there. What was the required revenue there. Can you talk about your expectations for growth in that segment going forward?
Mark Seaton: So info and other, there's a couple things that have happened. So on annualized business our revenue in info and other was down $16 million in the title business and $4 million of that was because of the fact that we've changed some of the contracts with certain customers and we used to especially in our appraisal business we used to show the growth revenue and now we've netted it with the cost of the appraisal. So $4 million off the $16 million is because we've netted revenue and expenses. And then of the $12 million about half off that $6 million is related to our centralized lender business, we're still seeing declines in our default related activity and about $44 million is related to our international operations. So that's really what's driving the decline.
Dennis Gilmore: And with regards to growth, I think our comps are getting little easier on the second half. So I think we will not see the declines we saw here in the first quarter towards the last half of the year.
Carter Trent: Okay, thanks guys that's helpful. And on the share repos, it looks like the share count declined sequentially, did you guys repurchase [indiscernible] quarter?
Mark Seaton: We did a share repurchase in the fourth quarter, we bought back 425,000 shares and so that's why the share count was down sequentially. In January the first week or so in January, we've bought back just $2 million worth of shares. So we bought back a few shares but it was really negligible during the quarter.
Carter Trent: Okay, perfect. Thanks guys.
Operator: Thank you. Our next question comes from the line of Mark Hughes with SunTrust Robinson Humphrey. Please proceed with your question.
Mark Hughes: Thank you. I've a question about refi order activity with decline in interest rates you're clearly seeing more signs of life there. In your experience, is there kind of pent up activity and demand and so you get an early rush or is this perhaps more sustainable assuming interest rates, stay relatively low.
Dennis Gilmore: Well this is Dennis. It's probably more sustainable. We ended the quarter well in average about 1,000 orders a day and now running on refinance basis around 1,300 orders per day so nice uptick and unexpected uptick actually. And so I think that trend will continue to pent, but it's really directly associated with rates. So if the rates stay in current range, I think those ranges those orders counts will continue, but I would only caution that it's good for us. It's an unexpected pick up and revenue, but it represents less than 10% of the revenue for the title company, so not going to be a big driver of revenue growth.
Mark Hughes: And then the on commercial and not to put too finer point, you said down single digits. I wonder if you might care to modify that a little bit, high single, low single, mid single.
Dennis Gilmore: I think we'll stay with around mid-single digits right now, like I said and it's really been consistent what I've been forecasting since late last year. We had a great 2018 and it was an overall record for our commercial business. I think commercial will remain very strong for us in 2019, all indicators are that we're going to have another very good year, but I do think it will be down slightly from what we saw in 2018.
Mark Hughes: Thank you.
Operator: Thank you. Our next question comes from the line of Bose George with KBW. Please proceed with your question.
Bose George: Just wanted to go back to interest income, was curios why it didn't go up in the first quarter and also the $15 million annualized expectation, is that so good and should we just use that after kind of the fourth and first quarter run rate and sort of build that in over the course of the year.
Mark Seaton: Well first of all the $15 million, is still a good run rate to use. If the fed were to raise rates and again that assumes that balances stay the same. So one of the things that we think about is, that our balances are really overweight relative to the commercial business. we use to have this benchmark of we did $12 million of annualized investment income every time the fed raised and now it's more like $15 million because the commercial business is stronger and we've had a lot more deposits now because of the commercial business. So to answer your question, Bose. Yes $15 million is still a good run rate, but again that assumes commercial is flat from where it is today. And then just as I mentioned before looking ahead, we feel like we don't expect much in incremental growth in investment income over the next couple of quarters just because the fed is really been on pause. So I think $70 million is kind of our expectations.
Bose George: Just in terms of that, the rate, the increase that the fed did in December. I was just curios why is that, then sort of benefit the investment income this year.
Mark Seaton: Yes the biggest reason is just because balances were down, so and the fourth quarter was real strong commercial quarter balances were high at that point. As you know in Q1 we get less transaction activity and so balances were a lot less in the first quarter. So it's really a function of the fact that balances were seasonally low in Q1.
Bose George: Okay, so to the extent balances pick up. We could see that benefit in subsequent quarters even with rates stable?
Mark Seaton: Yes.
Bose George: Okay, thanks and then just actually just switching to regulatory. Is there anything to update that you're seeing out there in the regulatory that's worth noting.
Mark Seaton: Not really, the markets pretty calm right now.
Bose George: Okay, great. Thanks.
Operator: Thank you. [Operator Instructions] our next question comes from the line of Geoffrey Dunn with Dowling & Partners. Please proceed with your question.
Geoffrey Dunn: Dennis I just want to just double check. You said refi was $1,300 per day in April?
Dennis Gilmore: Correct.
Geoffrey Dunn: And with down 2% purchases somewhere in the probably $2,200 to $2,300.
Dennis Gilmore: Correct, yes.
Geoffrey Dunn: Okay. And then in terms of headcount, can be more specific on the amount of action you took in the fourth quarter and if you're already staffing up now?
Mark Seaton: On the fourth quarter, in the title segment our headcount was down 400 people in the fourth quarter.
Dennis Gilmore: And then specifically Geoff, like how we're thinking about it right now. Again I've used the term we're more cautiously optimistic on purchase than we were at the beginning of the year. We were very aggressive on headcounts coming into the year. So we're cautious going forward, but we're staffing where we need to, some full time but we're also using - we're using seasonal and we're using overtime right now.
Geoffrey Dunn: Yes, I guess what I'm going to - it sounded like you cut maybe more aggressively than you would if you knew then what you knew now. And as you think about Q1, that probably means you had some add back on personnel, maybe add back of bonus accrual so I'm just trying to think through if there's a little bit of expense catch up for the environment we now find ourselves in as we think about the remainder of the year.
Dennis Gilmore: No, not really, not really.
Geoffrey Dunn: Okay. And then last question, do you look at your margin excluding investment income because if you look at it that way you're actually losing operating leverage year-over-year and maybe due to mix and I'm curious how you think about the opportunity for margins versus 2018. If we pull out the NII benefit.
Mark Seaton: We look at our expense ratios as a percentage of net operating revenue, which is the similar method to what you are referring to and yes we have the losing ground on the expense side simply because when you look at the last 12 months, refi is a bit down, purchases has been down, commercial has been down. So we have lost kind of like our operating margins that have come down and that's more than offset by investment income. But yes, margins have come down just because volumes have, the markets been tough in last 12 months.
Dennis Gilmore: And Geoff, I think you're aware of it, but we also look at it, not any one quarter we're really trailing 12 months because any one quarter can have a little volatility in it. On a trailing 12, we're happy where we are, also we're looking at our success ratio and our success ratio is very strong in the first quarter.
Geoffrey Dunn: Right so in terms of just looking at, kind of let's call it core margin improvement. Does it take stability and growth in both purchase and commercial to achieve or can you have a refi environment that more than offsets down a couple points in commercial and purchase?
Dennis Gilmore: Not a straight forward answer, but it kind of depends. If we get a better purchase market than we expect we'll have the opportunity for margin leverage. So I think the lot of part for us will be as - we think that the purchase market can be incrementally better than what we thought it will be last quarter. And secondarily we're going to have some easier comps in the third and fourth quarters on purchase sale. I think it will still be a headwind, but I think it's going to be clearly better than we thought it would be at the beginning of the year. But I think the main driver Geoff is going to be purchase.
Geoffrey Dunn: Okay, great. Thank you.
Dennis Gilmore: Thank you.
Operator: Thank you. There are no additional questions at this time and that concludes this morning's call. We'd like to remind listeners that today's call will be available for replay on the company's website or by dialing 877-660-6853 or 201-612-7415 and enter the conference ID number 136-89517. The company would like to thank you for your participation. This concludes today's conference call, you may now disconnect your lines.